Armin Papperger: So ladies and gentlemen, without introduction, I immediately start. Thanks for your kind introduction, and a warm welcome to all participants of Q3 conference call. As in the previous quarter, Dagmar and I will walk you through the presentation. Please be advised of our legal disclaimer on Page #2. And now let's get started with the group highlights. Give me a chance, first of all, to have 2 extra points because of the political situation that we have and also personnel decisions. Let's start with the political situation. You have nothing in your hand out, but I'm very happy to give you the latest information about the decisions in Berlin about the German parliament. So the positive thing is that the German constitution, it is impossible to have a time without government. The government stays as long as we have a new government in Germany and the old government is -- can take actions. The same is for German [indiscernible] All the people in the German Bundestag can make decision until the end of their political period. It is very positive that we have a preliminary budget with that. It is impossible that we have a shutdown. So governmental shutdown is impossible like it is in the U.S. So therefore, the German government is always able to make decisions. The only thing is we are not an acting government is that we only can -- every month can spend on the budget side. But anyway, it is very positive that we have no shutdown. We have a very positive role for the German Bundestag were and they have an extra role because of we have our extra budget. And therefore, it is independent from the budget in 2025 because we have the under budget, which has €100 billion, and they will spend about that thing. And as I said before, 113 of the budget of the previous year in 2025, it will be 2024. They also can spend. So that we see maybe some smaller delays but not really big ones. At the moment, and especially today, there will be a meeting between the leader of the opposition and the Chairman Chancellor, between Mr. Schultz and Mr. Matt. And they will take care about when the next elections are, our expectation is that Mr. Mats will take care of that latest on the ninth of March in 2025 will be the next election, so that we have then a new parliament very soon. If we have a negative vote of confidence, which will happen maybe then the President has 21 days then he needs a majority. And if we don't find a majority inside the Bundestag after 60 days, we will have these new elections. So what are the impact for us? What are the impacts Rheinmetall we see absolutely no big impact. Maybe there is an impact, and this is what we, at the moment, count in that we have delays of maybe 4, 6 or 8 weeks in some of the order intakes. But the positive thing that today, Parliament gave green light for another contract of trucks -- and this -- in this year, all plant contracts, which are bigger than €25 million, where the government has to make a decision, we got the feedback that it will go through. This is -- and later, I will give you an overview about all the contracts that we are -- where we are in the final negotiations -- so that we see at the moment, as I said, not a very big negative impact. Second information. This is about personnel and maybe you read it yesterday. There are -- it's a personal decision from my colleague Dagmar end of the day -- end of the year to lay down the CFO position that she has at the moment. So it's a very clear part that she made a private decision about that thing. I fully understand that. I appreciate the last 2 years that we worked together. She made a great job. And thank you very much, Dagmar, for everything what you did for our group. All the best also from the family side all the best for you. I hope everything is going into the right direction. So now, ladies and gentlemen, let's go to the real conference call, and I start with Page #3. On this slide, you see that sales is growing 40%. Very positive quarter 3, the operational results, a plus of 52% or €302 million. So that the operating margin is growing to 12.3%. For sure, we also have higher FTEs. So there is an FTE decrease of 2,610 people or plus of 11%. And with all the investments that we are doing, we have a very positive operational free cash flow. Dagmar will give you an overview about that later in the financial part. But plus of €221 million is huge after all these investments. So we spend 7.4% CapEx of sales and we have, after a record Q3 last year, also now a very good quarter 3 for Rheinmetall order intakes or nominations of more than €6 billion. So the Rheinmetall backlog has a growth rate of 41%, and this is nearly now €52 billion. Later, I will give you an overview about that. This continues and the order backlog will still grow to the end of this year. At the beginning and at the end, I have 2 figures, which are very important also. If you see the accumulation of Q3, so the defense growth, we had a growth rate on defense of 55%. So which is, I think, at the moment of the bigger companies, the biggest growing defense company on the sales side and also a very good profitability. So only on defense side, the profitability is on a level of 15.3% EBIT growth which is really good. So the civilian business has no growth, and that's a very simple thing that we are growing faster on the defense side and also the profitability on the civilian side is much, much lower than on the defense. The expectation for the full year 2024, I will show you later. Let's go to the next slide. Slide #4 shows that the total Rheinmetall nomination or order intake in Q3, €6.1 billion. The big driver is vehicle systems. On the vehicle systems side, we booked another 6,500 military trucks. This is not the end of the story because at the end of the day, there is a need of between 15,000 and 25,000 it really depends the role of the [indiscernible] were that they have. And there is more in, but another 6,500 military trucks are very positive. We also booked [indiscernible] let for Czech Republic. This is lot 1 plus lot 2 for €151 million and FOX kits, this is especially for our 6x6 vehicle Fox for Algeria, it's about €280 million. Second driver was even [indiscernible] Ukrainian order. You know that we build up a 155-millimeter production plant. Here, we got a 3-digit million €order intake and the framework with Spain for propellant charges of €250 million. Electronic Solutions with 60 sky ranges, 30 targets for Denmark and also intercoms from contract from a frame contract for €356 million. And also several bookings for Power Systems. So in total, €6.1 billion. Let's have a look to the next slide. We really continues a very positive point with Leonardo. So we founded Leonardo Rheinmetall military vehicles in Italy. It's a new player in the European tank production. As you know, we implemented the Panta tank and also the Linx tank as a base version and to implement also some leather technologies in these vehicles. We have a 50-50 joint venture and a 50-50 workshare. So 60% will be produced in Italy, 50% for Leonardo, 10% for Rheinmetall Italy and 40%, the rest of the Rheinmetall factories. I think a real win-win situation. There is an opportunity of more than €20 billion in the first shot with Italy, but our expectation is with ammunition and export that there is a possibility of €50 billion over the next 10 years that we can make in this joint venture. So very positive direction. As I look to Slide #6, what happened on the market side. So we are -- we made a new strategic alliance from the U.S. Transatlantic alliance with Honeywell. And Honeywell has some good technologies that we also need in Germany. The main technology is, for sure, collaborations on auxiliary power, but also the potential to cooperate on the maintenance on helicopters. For example, is the engine for the [indiscernible] Honeywell engine, and we try to see potential that we cooperate in that area also for the German GNOC program. We have high energy applications and specifically in building automation and overarching terminal management, we see also opportunities to do that with Honeywell. So the opportunity that we have is, first of all, we must not develop things. We can use it from Honeywell, and we can be faster and we can use the Honeywell capacities also in different areas, and Honeywell can take over some technologies to Rheinmetall to produce it here in Europe to be a European hub also for the Honeywell technologies. Let's have a look to Page #7. This is also an important alliance that we have with [indiscernible] so we tested, as you know, very successful our laser weapons on the frigate Saxon. This was already completed in 2023. And now there is a decision from the German government that what we want to continue and we want to implement also the laser technology on the German Navy on different ships on frigates and cores and therefore, we have a new cooperation agreement, and we plan to launch a joint maritime drone fence product on the market. There is a laser weapon but it can be also gun based in combination with scan-based and laser-based weapons for the Navy. A huge potential also for Rheinmetall. Let's have a look to Page #8. On Page #8, you know that we made a signing on the lock Performance acquisition. It is very, very well on track. And I can say very positive tomorrow. We expect the green lights from the government so that everything is going into the right direction. So Monopoly Commission and all the other things, seems to be okay. The feedback from the U.S. government is very positive so that our expectation is that latest end of this year, latest end of this year, closing expected. So what does it mean? It means that, first of all, we take over the order book of lock performance. We take over people, and we are ready for operations in the United States for the big programs that we are because then we have the factories that we need to make the U.S. customer happy. Let's have a look to Page #9. On Page #9. It's a very important agreement between great Britain and Germany that we signed. You said you see the picture between where both ministers sign it. And I personally made -- has a discussion with the Prime Minister of U.K. what is possible at investments and also contracts for sure in the United Kingdom. And there are 4 items that we can bring forward with a huge potential with annual sales. I see as number one, the gun shop, we will start very soon with the gun shop, and this gun shop will be from medium caliber up to 120 smooth bar guns to 155. There is an opportunity between €300 million and €400 million per year. The second is powder production. At the moment, U.K. has no powder production. And there is an opportunity of more than €200 million per year. And then munitions and vehicles, which is a potential of €500 million every year. So the British market is really going forward. And my expectation is that it is possible to make in Great Britain between €1 billion and €1.5 billion per year. So now political decision #3, U.S. gets a new President, and this is you see on Page #10. What is there an impact on the business for Rheinmetall. So what we believe is that President Trump will press the Europeans to be more independent to invest more into defense programs. And with all the discussions I had with NATO, but also with Pentagon, the expectation is also from the U.S. that 2% is not enough that we have to spend more. So at the end of the day, there will be big pressure. This pressure helps us to get budget and this budget helps, for sure, to have a permanent opportunities also to deliver in Europe. This is for the whole European forces. Lock performance, as I said, is done. So we see no negative impact about that. And we see also no negative impact on the U.S. programs because the point is very clear that Rheinmetall builds up all the people, the jobs. We create the jobs in the United States. We will produce every screw in the United States. And this is also a feedback from Paragon from some governors and also senators that say, okay, President Trump wants to make that's very clear, America great again, and we have to create jobs, if we create jobs in the U.S. he will be happy and will protect these companies who create jobs. So let's have look to Page 11. And this is also very clear the expectations of the NATO and exactly what the President of B&D, for example, said, but also Major General Secretary Mark Rutte. And all the comments you can read here on Page #11, sounds very positive for the business because over the last 30 years, the Europeans invested not enough. There is, as you know, at the moment, a gap in Europe of up to €1.6 trillion for investments, and there is a gap of minimum €300 billion in Germany for that. So this is much more -- there is much more in. At the end of the day, we have to find the budgets in Europe. But I believe that the debt break that we have in Germany very soon will fall. And therefore, we will get a new budget to invest more in also security of Europe. So I hand over now to Dagmar. She will make the financials. And later, you get an overview about the opportunities that we have over the next months. Please, Dagmar.
Dagmar Steinert: Many thanks, Armin. A warm welcome also from my side. Please turn to Page 13, and let me allow you to give you a few more financial details on the past quarter. Sales grew around 40% to €2.5 billion driven especially by a sales jump in vehicle systems. There, we saw a significant number of truck deliveries. The currency effects were only minor. Next to that, the M&A effect from Rheinmetall munitions is only visible for July as we fully consolidated [XPI] from August 23 onwards. The operating result improved by more than €100 million to €302 million, which represents an increase of more than 50%. As a result, our operating margin increased once again quarter-over-quarter to 12.3%. This improvement in profitability of 1 percentage point also becomes visible in the increase of our earnings per share by 30%. And I believe that is a great development. Please turn to the next page. The operating free cash flow of €18 million in the third quarter. This represents an improvement of €221 million quarter-over-quarter and it's a very good continuation of the trend we started to see in the second quarter earlier this year. It's all about higher customer payments and, of course, a significant number of truck deliveries. Nevertheless, inventories increased further as we are preparing for a very intense fourth quarter, especially in the area of reponed ammunition and vehicle systems. Our CapEx spend started to accelerate in the third quarter, and we still expect to end up the year around 7% of sales. Moving on to Page 15. Our balance sheet is really in a great shape. The cash position is close to €0.5 billion. Furthermore, we have undrawn credit lines of €1.3 billion and an increased commercial paper program of now €750 million available. This means we have plenty of untapped financing sources available for the acquisition of lock performance. Compared to the previous year, following the acquisition of Rheinmetall xpi munitions, we have already improved our net financial position, driving our net debt to EBITDA ratio below one. Moving on to the next page. The main driver for Rheinmetall Nominations of more than €6 billion in the third quarter was, as Armin already said, the large truck framework for Germany. This is a very strong result, but compared to an even strong previous year's third quarter as this included large projects such as Caracal and the large framework for tank ammunition. The backlog crosses €50 billion barrier and now stands at almost €52 billion. That impact is a really big number and great achievement. More than 50% of the backlog are firm orders. Please turn to the next page for a closer look at our segment results. Vehicle Systems grew revenues by 88% to more than €1.2 billion, with an operating margin of 13.1% in the third quarter. The operating result nearly doubled from €82 million to €162 million. The main driver behind that were the trucks that we delivered. Despite the pull-forward effect that we reported in the second quarter, we saw a very robust performance across all metrics in weapon and ammunition. However, I would like to point out that the 26.5% margin included a special effect due to a release of a provision of expire -- we were able -- it was from the initial consolidation, and we were able to solve this with a positive outcome. In Electronic Solutions, we had a good development as well. especially the margin improvement of 3.1 percentage points stands out. One significant driver here was the accelerating Air Defense business. Power Systems saw a decline in the business as we have seen in the entire industry over the last couple of weeks. Even though sales and operating results declined, we were able to maintain a small positive margin, especially in the former OEM business [indiscernible] and actuators the situation is really challenging. As of today, we expect that this trend is going to continue and might even deteriorate further towards the year-end. And with this, I would like to hand over back to Armin for the outlook.
Armin Papperger: Thank you, Dagmar. So let's have a look to Page #19. And as last time we discussed a lot about what happens with the frame contracts. And what happens with especially the call-offs from the frame contracts. And what you see is that out-of-frame contracts from 2021 to 2024, we have 3x higher call-offs out of the frame contracts. What does it mean? Frame contracts are very for few, few customers. This is number one. It's Germany, Netherlands, United Kingdom, Spain, Norway and Sweden. And it's also for a few products. And this is especially for trucks and for the EMO contracts for propulsion and also for intercoms. So what is the reason of this frame contracts? The reason of the frame contract is that sometimes the governments are giving us down payments in this area or milestone payments. These are very, very big contracts and if we have percentage-wise, this down payments, the governments want to separate it also that the down payments are not first of all, too big on one side. And on the other side, these are contracts sometimes over 5 over 7 or over 10 years. So that it is possible, yes, to handle that in slices to have also a risk reduction for the customer and for us in both sides. But this picture shows that the call-offs are getting bigger and bigger and over the last 10 years is always that they fulfilled 100% or more than 100% of the frame contracts, sometimes like in ammunitions of our fiery and also on the truck side, we have -- we got extra contracts because the frame contracts we delivered earlier in the frame contracts than the expectation of the frame contracts. So it's a positive, a very positive signal. Now let's go to the page -- next page, Page 20, which I think is a very important page. To give you an overview about the rest of the year, how safe our business is and how safe our expectations about the order intake are. So you see that here, fiscal year 2022, 9.5 growing to €19.9 billion, nearly €20 billion last year. And after 9 months, we still have €21 billion. So and now give me some time to give you an introduction about that what is still open and where we are in final negotiations, real final negotiations on the contract. I start with vehicle systems. On the vehicle systems, there are turret reconnaissance vehicles in Germany, we call it [indiscernible] And this is a contract that we have together with our colleagues in Munich, which is more than €3 billion, so for every company, more than €1.5 billion. Because of the situation that we have, I believe that this will be booked in the first quarter. It will be not in the December meeting. This is our expectation. But to be fair enough for us, it doesn't matter because we couldn't expect that in the beginning of loss of this year or end of last year. So we are not so bad if we have a hit rate, which is, let me say, plus minus 2 months. Second point is Gephart upgrade program which is on the level of €600 million. Then we have the OCH 155. This is, in total, also €1 billion together with our friends in Munich and it will be €500 million for us. So then we have lube. This is a €400 million package for target and vehicle. This is an R&D contract. Then we expect €500 million SkyRanger contracts. And we also expect that we get a contract together with DGD will have the main contract of [indiscernible] in Germany and for us, it could be more than €500 million. So this is on the vehicle side. Let's go to weapon and ammunition. There are a 35-millimeter ammunition contract of €200 million, together with Ukraine. There are 100,000 rounds of Lithuania this is an area of about -- between €500 million and €600 million in Lithuania for artillery. And then our 20,000 rounds out of Spain which will also go to Ukraine. We expect that we can sign it, let me say, in December. If it is January don't hit me, but it's very near. Another very near contract. My expectation is also 25%. It will not longer work now, but everything is in line. That's a positive thing. It's for modular charges. Germany needs a lot of modular charges because they order the project time. Last time we discussed about the order intake of the project tides and they need millions of charges for that because at the end of the day, there is a €2.2 million contract with us, but also with other companies. And we are, at the moment, the only producer for the modular charges. This is a €3 billion opportunity that we, at the moment, negotiate. It's not an opportunity. It's a must because otherwise, they cannot [indiscernible] But as I said, I -- my expectation is that it will not work end of this year, it will be next year, this €3 billion. Another very positive thing is that we go now to electronic solutions, Tavan they want to sign this year. This should be in the next meeting in Berlin. It's €1.6 billion fixed, but it will be a frame contract. And this frame contract will be net on a level of nearly €8 billion, so exactly €7.6 billion. So a big -- a very, very big digitization contract. And then [indiscernible] This will be a €1 billion contract that we expect and the soldier system, where we will book fixed €350 million and a frame contract of €3.1 million. So if I count everything together, we have a level between €19 billion and €20 billion, where we are in the final negotiations on contracts. So what does it mean? Our expectations were not too high? Maybe yes. And again, you can blame us. We have a delay of some months for some of these programs. But it seems to be that it is very, very safe between €30 billion and €35 billion, but the €40-plus billion at the moment, we are absolutely in the range, absolutely in the range and nothing happened. And the positive thing is also from the market side. We lost nothing. So everything is still in the budget. Everything is still in discussions. We needed and especially most of them are from the German government. And there are on top some contracts also from the international market, which is another positive signal. So let's go now to Page 21. And on Page 21 is you see that after 9 months, we have €6.3 billion sales. We have €3.2 million in the existing backlog. And there are some things that we book in, for example, more than €100 million in service, which is coming automatically in Q4, chemicals, [indiscernible] chemicals and also €150 million trades. So between €300 million and €400 million is very fixed so that we have, let me say, nearly no gap to make this around, as I said, until the €10 billion. What is the risk of that? As you said, life always have risks. And at the end, at last year, we had 2 lots of ammunitions. Where we had late deliveries. So it was some days deliveries late, but sometimes you also have a risk in lot acceptance test. But at the end of the day, we think that the risk is not very high to have sales around €10 billion. which is a very positive signal. And now also from profitability, I think this is also a very important thing. I'll give you only one example. The biggest driver, as you know, is weapon and ammunition. The first 3 quarters, we made €1.55 billion in weapon and ammunition. Only in quarter 4, we will make €1.34 billion in weapon and ammunition. And you know that this is the real trigger point also on profitability. So if you see that, it's a very important thing that we have a plus of nearly €0.5 billion on the weapon and ammunition side. But we also -- the inventories are growing on €500 million. So what I can say is nearly everything of the ammunition is ready. So that the risk is logistical risk and a firing qualification risk on the firing side. This is, let me say, the only risk I see at the moment. And if you calculate and if you see what we have over the whole year, the defense growth rate will be more than 50% in comparison of last year. And our expectation is that we are able on the defense side to make an EBIT gross of nearly 18%, which is also, I think, an excellent figure. So then we go to our last page. This is the full year guidance. And on the sales side, it's very clear that we said we have around this €10 billion sales. The operational margin will be around 15%. As I said, nearly 80% around the defense. The rest is civilian business. And on the civilian business, and we overcompensate that from the planning because the civilian business is really breaking down and also the profitability we lost from our expectations, €30 million to €40 million. We compensate -- overcompensate that on the defense side. And this is also 1 point that we for sure said that defense is our core business and the civilian business in some areas are absolutely -- they're not core, and we have to take care about that. And the operational free cash flow will be more than 40%. It depends a little bit, really the cash that we get if we get it end of December or if we get it beginning of January. But Dagmar showed you in the presentation what we are investing. And if everything is running well, my expectation is that we have between €700 million and more than €1 billion operational free cash flow for this year. And I think that's a very fair value with all that investments that we do in Rheinmetall, so we prepare our company for the future. We will grow strong this year. We will grow strong next year. and the years after we prepare our factories for that because the investments will be done this year and also next year, but we still have a good operating operational free cash flow, which is very good for our investors and also very good for the people who are working here in Rheinmetall. Thank you very much for your attention. So now we are final with Q&A. Please start. Schoomaker
Operator: [Operator Instructions] And we'll start with Sven Weier with UBS.
Sven Weier: I want to follow up with, I think, something really important, you said on the German debt break because you said you expect this to fall relatively swiftly, which I think is an important statement. So do I take it that you think that the CDU will give up its opposition against the debt break? And do you also assume that the AFD and the BSW will support a 2/3 approval rate in the Bundestag for dropping it -- that's the first one.
Armin Papperger: Yes, first of all, I think they don't need it because as that, you say there are some mechanisms that it is possible. So the easiest way for that is what I hear from my discussions first of all, that they want to invest into the security of Europe and Germany. And the Christian Democrats are pushing that and they go forward, and there are different opportunities. And sometimes you don't need 2/3. So it was possible, for example, also to have this opportunity of this €100 billion budget, maybe they give an extra budget but at the end of the day, I think that the pressure will be so high that there is no other opportunity.
Sven Weier: So you think there will be kind of an emergency ruling or something because I think also special fund needs a 2/3 majority to have that go through?
Armin Papperger: I believe they will have it. I believe they will have it because if you see what AFD and BS III at the end of the day, is it 12 plus something from 5, so you have a 2/3 if you want to do it. I believe they have to do it because then we needed for investments in Germany. And I think that we will not really go forward if they don't do it. This is my expectation. Sven Weier Yes, let's see. I hope that happens because at the moment, it looks a little bit tricky. The other thing I was just wondering because you said you expect maximum a 4- to 8-week delay on the decision-making. I was just wondering I mean at the earliest point, we'll have new elections in January, I guess, until the new government is in place, it will be March. So do you see your conversation partners are still working now in Berlin? Or isn't everything in a bit of a disarray?
Armin Papperger: No. No, absolutely, they work. You see it even yesterday, we had a decision that there will be a change on the governmental side. Today, we got the decisions of the contracts. So they work. And as I said, there is maybe some delay, hopefully not too much, and that was the reason that I started with that political statement. The government is able to make decisions as long they are government. And everything what is in the plan is, at the moment, that I see positive. So I see that they are able to make decisions and they are also able to make decisions in January and February next year. even if there is an election in March.
Sven Weier: Good. And maybe the final question is just a housekeeping one because on the EBIT guidance. I can say you have broadly not changed the divisional margin guidances, except for Power Systems. I was just wondering on the other line because I think we started the year with a minus €50 million guidance now after 9 months, we are already quite a bit above 80%. So I wonder whether that's guidance item, how that has maybe changed?
Dagmar Steinert: Well, that's due to increasing IT costs. You know we are in an IT transformation process and unfortunately, it's -- yes, it takes not only time but it costs money.
Sven Weier: So what should we expect then for the full year on the other line?
Dagmar Steinert: You should expect at the end €20 million more.
Sven Weier: Okay. I go back in line.
Operator: So next up is Christoph Laskawi from Deutsche Bank.
Christoph Laskawi: The first one, just on the projects that you flagged also in Germany. Did any of those see changes in size more recently? Have they been upscaled versus your initial expectations? And could you comment on which projects those have been? And then second question, and you alluded to that in a recent interview, just when should we expect the Italian order intake to come through? Is it fair to assume the first €10 billion in '25, '26? And then the last 10 in 27? Or is there any changes in that time line? And then just lastly, on the auto business. Peers of you are restructuring, rightsizing the footprint, et cetera. Now you are in need of staff, obviously, in the fence. Can you make use of that -- and do you rightsize the auto footprint currently?
Armin Papperger: Yes. So first of all, on Germany, yes, there is -- there are some higher figures now than expected before. And the reason is that some of these programs are now one year later, and the price indications are higher also so that we have to offer higher prices. This is especially for our Boxer target with targets. This is also on the Tavan side. But the biggest thing is, let me say that on the Tavan side, the government now wants to have a frame contract before always before we discussed net €1.5 billion, and now it is net, let me say, nearly €8 billion in the -- on the frame side because they want to do this over the next 10 years. So yes, there are higher figures now. That is also the reason that if you count up everything and if everything would be perfect to be booked end of the year, as I said, it is nearly impossible but for me, it doesn't matter if it is Q4 or Q1, but it will come. It is more than €40 billion that we could plan this year. Second point from Italy. Yes, the budget from the Italian government, they gave the budget. The first budget is now for the link. It's on a level of €2.5 billion. And next year, the budget for the Punta is between €8 billion and €9 billion. So yes, you are right. It is for this year and for next year. And I really don't know because we have -- we have November now, yes. And next December. Maybe then we have the joint venture is then ready all the [indiscernible] also in Italy is done. And then I expect that the first contract will be booked in Q1. But your calculation is not so bad in 2025, it could be really on a level of about €10 billion, and the rest will be later. Question number three, on the auto side, yes, absolutely. It's very, very important for Rheinmetall to take care about the people that we have. And we take care. And at the moment, people from the civilian business are going to defense business. And the second point is what we want to do is, and there we will make the final decision end of this year. that we take over factories, the defense because we need capabilities and capacities, defense will take over civilian factories. So that we have not like other automotive producers programs to -- yes, to restructure everything and also not that we lose 1,000 or 2,000 people, but we take care about our people at the moment. We have a plus of 6,000 people per year on the defense side. And so -- and at the moment, on the civilian business, we have around 7,000 people, so we can really take care about our people. But we still have civilian business, as you know, there are €2 billion that we have to make. And on the other side, if we take care from the defense side to take over the factories and also we must not invest on defense. So these are very positive things because we must not invest in new factories because the factories are there. We take over the factories and so I think we can really have a win-win situation to save money on 1 side to have not a restructuring program because we can take over the people and on the other side, we save money and CapEx because we don't need new factories. Is that fair enough Mr. Laskawi?
Operator: So next up is George McWhirter from Berenberg.
George Mcwhirter: Two please, if I may. Firstly, just on the truck delivery spacing this year. have the majority of the German and U.K. truck that will be made in Q3? Or should we expect another large share to be happening in Q4? And the second question is just on Ukraine. So [indiscernible] was created this week saying that you're close to finishing the second site in Ukraine. Can you just update us on the status of what that factory is making and also the other factories that you got planned and also the revenue contributions from those, please?
Armin Papperger: Yes. So question number one, on the truck side, we delivered a bunch for sure in Q3, but we also deliver in Q4, delivering -- we continue delivering for that till end of the year. The positive thing this year is that we sell everything or nearly everything that we produce because now the frame contract is running and the contracts are fully booked. We are not waiting in November for other big contracts. We get this in now 200 trucks on top. This is what they signed today in the German Bundestag but yes, we delivered also in Q4. Your second question about Ukraine. On the Ukrainian side, as you know, we have now 2 factories in Ukraine for vehicles. This is for maintenance but also there, we are able to produce new vehicles. And you know that end of this year, the first links will be in Ukraine. And we are at the moment now preparing everything for the Ammunition factory. We have signed the contract. We got it down payments from the Ukrainian government, the Ukrainian government pays for the whole factory. And we will be ready for artery production in a period of 13, 14 months. So what is our next plan? The next plan is to implement also a powder production. There is a contract at the moment, not side because we have to make it step by step. And last but not least, an air defense factory, also not signed contract about that. They need a lot of them, but at the moment, the budget is limited also from the Ukrainian side. And we don't take the risk to build up factories without contract coverage and or without down payments. So we must make this risk reduction also to be safe from our side. Is that okay?
George Mcwhirter: Yes.
Operator: So next question comes from Dario Dickmann from HSBC.
Dario Dickmann: I've got one on possible international tenders. Do you have some updates regarding Poland or even Romania?
Armin Papperger: Yes. Is that the only one? Or do you have another one?
Dario Dickmann: And the other 1 would be clarification on the LBO. So you mentioned you expect a €1 billion contract. Are you in total still expecting something up to €6 billion
Armin Papperger: Yes. First of all, tenders on the Polish side, there are still negotiations, no decisions on the Polish side. There is a huge need in Poland. There is also a huge political negotiation at the moment between the Polish government and the German government. You know that there are discussions about cross payments, et cetera, et cetera. My expectation is that the first decisions maybe we can get in the second half next year, not earlier on the Polish side. Romania is a bit faster. As you know, we booked the first €300 million, €400 million on the air defense side. There is another need now on [indiscernible] Air Defense.ere should be a decision on the inventory fighting vehicle side. So the process is running. Romanian government told us that they want to make a decision end of this year. My expectation is because that's also a huge contract we speak about on the inventory fighting vehicle side, nearly €3 billion my expectation is that this will be also a decision next year. It will not work. It was also not in our list as you've seen. So in that countries, it always needs a little bit longer time. So on the propulsion production, we started the planning. The planning will be ready for everything in about 4 weeks. If the plan is ready, so the tendering process for the civilian is running. And then the contract, I expect also not end of this year but next year. But it's a very clear statement also from Romania that these 3 programs, and there is a force program of ammunition they want, they need and they need it also very, very fast. Second point is very clear DLBO. In DLBO, our digitization by themselves is a big budget in total. There is some spread DLBP was a combination before also of integration of digitization in vehicles on 1 side and also some hardware, which some of them is now in [indiscernible] As I said, the Tavan contract is on gross figures, about €9 billion now. But the DLBO is also much more than this €1 billion. Don't hit me, but I think my expectation is that in total, it will be more than €4 billion.
Dario Dickmann: Is that okay for you? Yes, that's great. And maybe on digitization for Australia, are there any updates?
Armin Papperger: No. At the moment, there are no updates about that. We are still in negotiation with the customer in Australia and also no decision this year, very clear. So this is also next year. They're shuffling around in Australia at the moment also the budget, as you know. Because they have -- they need a lot of money for the submarines. They need a lot of money for the long-range hit. But at the end of the day, the but I expect also a decision next year.
Operator: So next up is Marie-Ange Riggio from Morgan Stanley.
Marie-Ange Riggio: I have 3. The first one is about your nomination. So we have seen that you have introduced a new target range of about €30 million, €40 million. You have mentioned that the main reason is some projects might shift to 25%. Can you probably give us a bit more of color about the main reason of the delay? Is it like a question of price? Is it a question of volume? Is it just a question, it's not the priority of the government at the moment. Just any color on that would be useful. The second question is about Ukraine and your exposure there. So if I'm right, you have stated that your direct and indirect sales to Ukraine should be around €1.6 billion, €1.7 billion. But given we are already in November, I would assume this number is pretty safe for this year. But let's say, in '25, in the case of potential conflict escalation, how should we think about the potential recurring, if I can say it like this, revenue in Crane. And lastly, about the U.K. and the new [indiscernible] factory, can you give us a bit more color about the time line, please?
Armin Papperger: Yes, sure. First of all, the €30 billion to €40 billion. Mostly it's delays in negotiation. So there are, as you know, time slots, time slots where these contracts have to go to the German Bundestag stack. And if you go to different things. So we are very, very good because we are ready. We are now ready on Tavan. And this will be, I think, go through for -- in the next meeting. We have still open issues because sometimes the customers see our calculations in a different way -- but we still stay we fight also for our profitability in different areas. Then there are some changes inside the contract. This is mainly the point that the negotiations between our team and the team of [indiscernible] we lose some weeks or sometimes we lose 1 or 2 months. if you lose 2 months at the end of the day, yes, you have a delay that comes in the next meeting in January or in February. But that's the most important thing. No program. No problem, it was canceled. No problem was -- has a problem, let me say, with -- to say, okay, we have no longer money for that. This is what we told you and what we negotiate is going forward so far from the German side. So Ukraine, you are right. On the Ukrainian side, we are on this level. But the beauty is on the Ukrainian side that we have good contracts also long term signed and a lot of them are also 50% paid or if there are down payments. So for you to get an overview about that, we nearly, nearly booked billion for Ukraine. Some of them paid from the Ukrainian government, some of them paid from U.S. from or from European side. So it's a big package that we have. And from this €6 billion, I would say, €4 billion is still open that we deliver next year and the year after that. This is especially long-term ammunition contracts that we have with Ukraine, so on the Ukrainian side, as you know, we deliver a lot of ammunition for next year and also for '26, we booked a lot of contracts for the Ukraines there. So we are safe. United Kingdom. On the United Kingdom, we will build up a gun shop in the next 12 months. So we will be ready end of 2025. This is our expectation. We are -- we have, at the moment, 5, 6 different places where we want to invest. We will discuss with the government, which is politically also the best place to build up these production lines. At the end of the day, there will be a center of competence, which is very similar to the center of competence in North Germany [indiscernible] where we are able to produce medium caliber 120-millimeter smooth bar and 155. And this is especially for the U.K. market but also for exports. And we need these capacities. We have a bunch of contracts to build up new weapons because especially from the Ukrainian side, all the weapon systems, they shoot them out and shoot the barrels down because they issued thousands of rounds. And that is the reason that we invest in U.K. to have an independent U.K. source on one side for the British programs, but also to build up capacities for export for the world. Is that okay for you?
Marie-Ange Riggio: That's perfect.
Operator: So next question comes from David Perry from JPMorgan.
David Perry: Dagmar. Doug, unfortunately, I can't make the CMD this year. So thank you for all your help, if we don't speak again. I've got -- 2 questions, please. Armin, the first is on cash flow. Maybe I was too preoccupied this morning with the German political news, but I saw the guidance change to over 40% and didn't think much of it. But what you've said on this call is significantly above 40%. I think the range you gave us €700 million to €1 billion is 47% to 67% conversion, if my math is correct. So the question is this, we've seen with some other defense companies sometimes when they significantly overachieve on cash, there is the payback the following year. So is this a timing issue? Should we expect some payback next year? Or is this cash you can keep and maybe even without wanting to get too ahead of myself. Is there going to be a new level of cash conversion going forward that's higher than 40%. That's the first question. Can I ask the second one now or should I come back? The second one is you've just nudged up your margin guidance to the top of the range, but you've told us on the call auto is a bit worse and the other line is a bit worse. So just in terms of what's better, is it spread across all 3 defense divisions? Or would you steer us towards one them is doing better than you expected?
Armin Papperger: Yes. So let's start with the margins. So on the margin side, there is a lot and this is what we discussed, David, also overall our last meetings, the leverage effect that we have now inside. So we are -- the growth rate that we have on the ammunition side is very, very positive for us. You see this also in Q3. And if you see that also in Q4. We have another, let me say, we have 40% of the annual sales in Q4 on the weapon and ammunition. You can imagine that there is a big trigger point also for profitability. That is number one. Number 2 is that over that Electronic Solutions is also in a good position because they are growing very strong. And the gap now a lot of digitization contracts so if you see, and this is what is totally different to the picture that we had before on the digitization, if you see that [indiscernible] and DLBO coming in and [indiscernible] system is coming in. We expect now, and this is a point which started last year on digitization, €12 billion, €13 billion contracts in that never ever seen before, in that area. So we will see on the digitization very, let me say, a similar effect that we have on the weapon and ammunition side. So this is the second trigger point. And the trigger point number 3 is that now and also for the next years, vehicle systems will come into a situation that we go into really serial production. No longer, let me say, small numbers, big numbers going over. So that over the -- over all 3 divisions we will see an effect which is -- which will positive -- will be positive on profitability. Is that, let me say, something what you can raise forever? No, for sure not. But at the end of the day, I think we are not in such a bad shape if we make on the defense side this year around, let me say, 80% even EBIT drop. So this is good. But there is more in for sure, but it will be over the next years. And my expectation is really over the next years that we can go on the defense side on a level of 20%. If over the next years, and we make it happen, we can make it happen the cash conversion rates will be better over the next years. This is very clear. So the second point, and this is also a point, we have this year a lot of down payments. And we will not fall down to say, okay, that we have then a negative cash flow over the next years because the profitability of the project is very good. But you cannot expect if we book in December, all these big programs. And if we book in December, for example, only Tavan would we have a down payment of €500 million, that is the reason that we really have the possibility to go forward. And if the money comes in December and not in January, nobody knows because as you know, we have to do it with government. Then it could be that we really are on a level of €700 million or more than €1 billion in this area because if 1 trigger point or 1 contract is only €500 million down payment, it's very clear that this is one thing. So the mean value in cash flow over the next years will be better than a cash conversion rate of 0.4%. We have to bring it up in this area. But give us some time now to stabilize all that things, and -- but I think it's a very positive thing. Is that good, David, for you. Is that okay?
David Perry: Yes. I just -- I mean, it sounds like there could be a risk that maybe you go below 0.4 in '20 well, on '25 or '26, if you consume these PDPs, these advances, Am I reading that correctly? Or do you just think the ongoing new receipts will offset that.
Dagmar Steinert: Well, David, if you don't mind, I would like to answer your question maybe a little bit more conservative style than Armin does. As our cash conversion rate, our guidance is always an average over a couple of years. So therefore, at the end you don't have to expect year-by-year, every year, a cash conversion rate over 40%.
David Perry: Okay. That makes sense. Okay.
Operator: So our next question is from Sebastian Growe from BNP Paribas.
Sebastian Growe: David goes, I won't be able to attend the Capital Market Day, so I'd like to wish you all the best for the future. And with that all of a way now to my questions. The first one would be around the comments you made on production in vehicle systems and also related then to weapon and ammunition. You have so many, I think, CapEx projects on going, be it on the green or brownfield side. So it's not necessarily that easy to follow all those. Could you just sort of remind me quickly of what the sort of latest directional comments have been? So I do recall [indiscernible] and emissions should be minimum €5 billion could be higher. I think the ecosystem was also in the ballpark of €5 billion to €6 billion by 26-ish. So is this sort of a right understanding? Or, have there been so many as mentioned premium brownfield projects in the meantime that those numbers might be internally wrong.
Armin Papperger: So we will give these figures now in detail on the Capital Markets Day. So you get also these documentations, which where we are going there, we give also the new way forward. But I think at the end of the day, we minimum can reach that point, but we give you the figures in details in Rome when we have our Capital Markets Day. And we still bring all the figures together, but I think it will be -- there will be 2 good days.
Sebastian Growe: That I would bet on. The other question I had is just making reference to the announced changes to the executive committee yesterday. And I'm not so sure if I'm reading too much into this, but from the release, it sounds to me like the IT setup is not necessarily where you would like to have it at this point. So the question that comes with it is -- how should we think about the investment need here? And the second question, because you also have referenced it very strongly to the growth opportunities. Should we take a better IT setup? Is that the right understanding as an additional growth either or what is sort of then the proper understanding and qualification, I hope those comments you made in that press release?
Dagmar Steinert: Well, regarding our IT transformation and the way going forward, we just in the phase to finish the -- to take all IT services in-house. And that is quite a cost issue in the running year. But yes, you shouldn't expect in absolute numbers that IT costs are really coming down as everything, if it's AI, if it's digitalization, everything is somehow related to IT and of course, there will be an improvement or further improvement of the whole IT infrastructure. If you compare our IT spending to sales the percentage, of course, will come down over the years, and we are really fine in a benchmark.
Sebastian Growe: Right. And in terms of being an additional growth catalyst that would be a bit too far fetched in that assessment on my head.
Dagmar Steinert: Pardon? Sorry, I didn't really get your question. Would you repeat it?
Sebastian Growe: The question was, I think, that you have made a specific reference in the release that you have some many growth opportunities and IT is extremely relevant to drive that very growth. So the question that I'm having is really IT an additional unlock catalysts, so to speak? Or is this just as planned, if you want so.
Dagmar Steinert: Well, I was just referring to like white ITs, all the bases, the backbone of the IT and not -- I was not talking about digitization of our products. That's a different.
Armin Papperger: And it's also a point which helps us. This is absolutely great. On the IT side, also on the white IT, we need them. We -- it's a catalyst for us to go forward to be faster, to be more efficient in this area, and that's the reason that we are investing at the moment a lot of money. So in the IT side, we invest more than €300 million and between €300 million and €350 million per year. It's important for us, especially also for the new factories. We have a new concept. We want to go to absolutely new IT versions to the most modern that we have we want to use in different areas, also artificial intelligence. So I agree 100% with your point or with statement that at the end of the day, with IT, we must be more profitable, and we have to run the business better than we did over the last years. Is that okay?
Sebastian Growe: Yes, absolutely.
Operator: So there are no further questions right now. [Operator Instructions] So I hand over to Victor Allard from Goldman Sachs.
Victor Allard: So third question is perhaps for you, Mr. Armin. I mean we have seen the draft for the 2025 German budget. And I was wondering if you think there is potential for a revision of that draft going into the remaining phases of the approval process? And also when you look at the makeup of that draft, how should we reconcile the ammunition category, which is being cut by half, I believe, versus 2024 with the implications for Rheinmetall? Is that just phasing because you have already such a large cover going into 2025 is the first question. And then the second 1 is probably for Dagmar, and apologies if I missed it. Could you please quantify the provision release in weapon lamination in Q3?
Armin Papperger: Yes. So first of all, for the budget next year, in 2025, we are on the ammunition side fully booked. German and international markets. The only thing that we can press out at the moment. And this is really possible to have if you have some synergy effects. So I can give you an example about that. So the ancillary ammunition in Spain, where we are able to produce 350,000, 400,000, we produced 20,000 more than expected this year because of synergy effects But the rest, there is no influence from the German budget side in 2025 because it is fully booked. The second point is that for 2025, the government has to make, let me say, another proposal. It is not still fixed about that. And there is now -- it's a different situation than we had before. I think there is some space there are possibilities for the government to go forward. If, for example, the opposition is now service them because if you have a minority government, you can change something in this area, but nobody knows exactly what happens, but I think there is an opportunity. But I have no glass ball what the politicians are doing in this area, but next year. And in 2026, we are very, very safe especially also on the ammunition side because we are very well booked.
Dagmar Steinert: Yes. The provision we released in the third quarter in weapon ammunition that was an amount of €15 million.
Operator: So there are no further questions now, and I would like to hand back to Mr. Papperger for the conclusion of the call.
Armin Papperger: Yes. So thank you very much, ladies and gentlemen, for your time, for your interest of Rheinmetall. I hope we could give you the transparency that you need as our shareholders. Thank you very much to be our shareholders. Thank you for your trust. And yes, have a lot of fun. Hopefully, all in the picture with Rheinmetall shares. Thank you very much. Bye-bye.
Dagmar Steinert : And I would like to take the opportunity to thank each of you for the good collaboration over the past years. As today is my last earnings call for Rheinmetall. It was a privilege to me, and I'm sure Rheinmetall have a bright future. Thank you very much.